Operator: Good morning, and welcome to FedNat Holding Company's First Quarter 2022 Conference Call. My name is Howard, and I'll be your conference operator this morning. At this time, all participants will be in listen-only mode. Before we begin today's call, I'd like to remind everyone that this conference call is being recorded as well as broadcast live via webcast. Additionally, today's call will be available via webcast replay later this afternoon and accessible by visiting the Investor Relations section of FedNat's website at www.fednat.com. Now I'd like to turn the call over to Bernie Kilkelly for FedNat's Investor Relations. Bernie?
Bernie Kilkelly: Good morning, and thanks for joining FedNat's first quarter 2022 conference call. Our earnings release and prepared remarks include references to non-GAAP measures, such as adjusted operating income. We use these non-GAAP measures to provide greater transparency and a more meaningful, efficient comparison to prior year's results. Our non-GAAP and reconciliations from the GAAP measures to the non-GAAP measures are available on our -- in our earnings release. Statements in this conference call that are not historical facts are forward-looking statements. Words such as anticipate, estimate, expect, predict, project and other similar words or phrases are intended to identify forward-looking statements. The matters discussed on this call that are forward-looking statements are based on current management expectations involving risks and uncertainties that may result in these expectations not being realized. Actual events, outcomes and results may differ materially from what is expressed or forecasted in forward-looking statements made on this call due to numerous risks and uncertainties, including but not limited to, the risks and uncertainties described in this conference call, our press release issued yesterday and other filings made by the Company with the SEC from time to time. Forward-looking statements made during this conference call speak only as of today's date, and FedNat specifically disclaims any obligation to update or revise any forward-looking statements to reflect new information, future events or otherwise. Now I will turn the call over to FedNat's Chief Executive Officer, Mike Braun.
Mike Braun: Thank you. Good morning, and welcome to our first quarter 2022 conference call. Ron Jordan, our Chief Financial Officer; and Eric Fernandez, our Chief Accounting Officer, are on the call with me today. After my remarks, Ron will go into more detail on the financial results of the quarter, and then we'll be glad to take some questions. Before I review our first quarter results, I wanted to give an update on the proposed action plan that we submitted to the Florida Office of Insurance Regulation on April 29. The plan had been requested by the Florida OIR following the downgrade by Demotech of its rating of FNIC, which inhibits our ability to maintain our books of business that are no longer acceptable to some in the secondary mortgage markets. We believe the lack of an A rating also prevents us from completing the appropriate excess of loss reinsurance program for the trading year beginning July 21 -- I'm sorry, July 1, 2022. It is our proposed action plan as approved by the Florida OIR and other regulators in other impacted states, then it could result in the Company becoming much smaller as a result of vacating our non-Florida states and significantly reducing policies in force within Florida. The proposed plan may result in additional capital coming into the holding company or into our insurance carriers. If approved, the proposed action plan would be expected to enable us to obtain excess of loss reinsurance on a significantly smaller Florida-only book of business. Our action plan is currently being reviewed by the Florida OIR, and we will provide an update on the outcome of the review when it is available. We are, of course, disappointed with these latest developments. As we announced last November, our strategy is to exit our non-Florida markets, including the runoff of Maison Insurance Company, and to refocus on the improving homeowners market in Florida, where FedNat was established 30 years ago and where we continue to have a significant market share, strong underwriting and claims processing capabilities and strong agent relationships. Upon completion of this transition, if approved, we expect that FedNat would be a financially stronger company rightsized to our current capital and surplus position with less exposure to weather frequency and, therefore, less volatility in our underwriting results. Turning to the quarter. Our financial results were impacted by $31 million of net catastrophe losses, including $19 million in net catastrophe losses from severe weather events that impacted Florida, with the remaining pertaining to our non-Florida business, which we are in the process of exiting. While we ended the first quarter with $47 million of liquidity at the holding company, ongoing underwriting losses, driven primarily by catastrophe weather losses, and the uncertain outlook for maintaining appropriate capital levels at FNIC with outside capital infusions led in part to the downgrade from Demotech and the action by the Florida OIR. During the first quarter, we continued the orderly runoff of Mason's insurance operations as part of our exit from our non-Florida markets. In January, we began non-renewing Maison's Louisiana policies on the expiration dates of each appropriate policy. And in March, we began to non-renew Maison's Texas policies. The nonrenewal of Maison's Florida's policies is currently planned to begin effective July 2022. FNIC's non-Florida book was written through our third-party managing general underwriter, SageSure. And SageSure owns the renewal rights to those policies. As we discussed on our last conference call in March, SageSure began making offers of coverage in December 2021 to all FNIC policyholders in Texas and Louisiana to renew policies onto alternative insurance carriers, partners of SageSure that are not affiliated with FedNat. A high percentage of such policyholders have been accepting the alternative coverage, accelerating the reduction of our book of business in these states. During the first quarter, SageSure policies in all states continue to be non-renewed by FNIC. To the extent that the policyholders did not accept the alternative coverage -- I'm sorry, they would be renewed if they did not accept the alternative coverage. However, that is no longer the case beginning here in the second quarter. Beginning May 1, 2022, in Texas and Louisiana; June 1 in Alabama and Mississippi; and July 1 in South Carolina, all policies not renewed on an alternative carrier partner of SageSure will be not renewed by FNIC. Beyond these actions, the future status of nonrenewal of FNIC policies written through SageSure will depend on the approval of our proposed action plan by the Florida OIR and state regulators in Louisiana, Texas, South Carolina, Alabama and Mississippi. I want to stress that FedNat's commitment to honoring all commitments to our policyholders, past, present and future and all policyholders and agents will receive the same professional service that they've already received from FedNat. Before I turn the call over to Ron to give more details on the first quarter's results, I will like to briefly discuss the environment in the Florida homeowners market and our performance during the first quarter. The environment continues to have its challenges, but as a result of the dramatic actions taken by us with our underwriting and rate action over the past five years, we are now experiencing positive trends in our attritional loss ratios in both new business and the renewal business as it is renewed at increased rates. We benefited from our actions to shrink our Florida book until the rates more accurately reflect the increased cost of doing business, including higher reinsurance costs. From the end of 2017, our Florida book has declined by over 44% from 272,000 policies in force to 152,000 policies at March 31 of this year. We increased FNIC's rates by a cumulative 90% over that same time period, restoring rate adequacy in our book. FNIC's average premium per policy in Florida increased by $176 in the first quarter compared to the fourth quarter of 2021, and $607 higher than the first quarter of 2021. This increase translates into approximately $83 million in more premium on the 137,000 FNIC policies in Florida as of March 31 compared to last year. Most importantly, these rate increases helped improve the attritional loss ratio in FNIC's Florida book, which dropped to approximately 32% for the first quarter of 2022 as compared to 38% a year ago. This clearly demonstrates why we decided to shift our strategy to exit non-Florida markets and to refocus on the Florida homeowners market. Now I'll turn the call over to Rob for more details on our first quarter financials.
Ron Jordan: Thanks, Mike, and good morning, everyone. As Mike mentioned, our first quarter 2022 results were impacted by $29.2 million of catastrophe losses, which were primarily from 11 large storms that affected Florida, Texas, Louisiana and South Carolina. Aggregate gross losses from these first quarter events are estimated at approximately $32 million. Gross losses were reduced by ceded losses of approximately $2 million under quota share treaties and by the accrual of $1 million of related claims handling revenues. Approximately $10 million of these net catastrophe losses are related to books of business that the Company is in the process of running off, including FNIC's non-Florida book and Maison's book of business. In addition, the Company recorded approximately $2 million of net adverse reserve development in the quarter related to Hurricane Laura, which hit Louisiana in August of 2020. If one were to adjust our first quarter operating losses for the impact of the cat events and reserve strengthening and then apply to federal tax rate, it indicates that FedNat's adjusted operating result in the quarter would have been income of approximately $2.3 million or $0.13 per share. With the change in strategy to refocus on the Florida market, our attritional loss ratios have improved, reaching 27.8% in the first quarter of 2022 compared to 36.5% in last year's first quarter. Excluding the impact of catastrophe losses, our first quarter 2022 combined ratio was approximately 118% as compared to 157% in the prior year quarter on a comparable basis, a decline of 39 points, driven primarily by lower excess of loss reinsurance costs and the benefit of rate increases that continue to earn into the book. We have continued to make disciplined progress on our Florida exposure management strategy. Our Florida policy count at March 31 of 152,000 policies is down 5% sequentially from fourth quarter and down 23% from a year ago. The total insured value of our Florida book at March 31 is down over 13% from a year ago. Importantly, we believe that our rates have largely caught up with our higher cost of doing business in recent years. As a proof point, first quarter 2022 gross written Florida premiums decreased 4% from last year's first quarter, while policy count decreased 23%, reflecting the impact of our price increases. Outside of Florida, as Mike discussed, we continue to execute the runoff of these books in the first quarter. Non-Florida policy count at March 31 was down 20% from December 31 and 36% compared to March 31 of last year. This non-Florida runoff will accelerate in the second quarter as we began non-renewing SageSure policies that do not voluntarily take the alternate offer of coverage, as already described by Mike. Turning now to our balance sheet and capital position. We maintained surplus in Monarch National and Maison, consistent with RBC ratios of 300% or above. We also maintained our commitment to having appropriate liquidity at the holding company with $47 million of such liquidity at March 31. At the end of the first quarter, we held total investments of approximately $276 million, reflecting in part a decline in carrying value of $14.2 million following the Fed's rate increase actions. We ended the quarter with total cash and investments of approximately $92 million. We continue to maintain our discipline to invest in higher-quality liquid bonds and a handful of preferred securities with no common stock exposure in the portfolio. Overall, the portfolio has a composite credit rating of A. And with that, I will turn the call back over to Mike.
Mike Braun: Thanks, Ron. Operator, if you can go ahead and we'll take a few questions.
Operator:  The first question comment comes from the line of Doug Ruth from Lenox Financial Services.
Doug Ruth: Ron and Eric, could you offer some more color or comments about the plan? Is there anything else you could tell us about it?
Mike Braun: Yes, there's not a lot we can share publicly at this point. But clearly, the last two years have been very challenging for the Company. In 2020, we had five different hurricanes, which was very taxing and has impacted us in a materially negative way. And then that pain has extended into 2021. So there's nothing specific that we can share with you at this point, Doug. But once again, what we're trying to do is adjust the Company to back to Florida. We're trying to have proactive meaningful conversations with the OIR. And also just once again, coming back to a smaller balance sheet and to less policies in force. So that's the objective generally, and we look forward to giving more information at the appropriate time.
Doug Ruth: Okay. And then do you have a timetable when you might expect to hear back from the OIR?
Mike Braun: Yes, there's no specific timetable. But I would say, hopefully, we can share more publicly in the coming weeks. I don't think it's something that's coming in the coming months. I think it's in the coming weeks. And once again, it's a hot item for the Company, and the regulators have been receptive to what we're looking to accomplish. But it does take time for review, and once again, to make sure that the OIR is comfortable with what we're proposing.
Doug Ruth: Okay. And what about the special session coming up? What are your thoughts about what you see and what you're hearing?
Mike Braun: Yes. It's a bit early. So we'll know more, obviously, in the next two weeks. But clearly, the Florida property market has been very challenging for the last number of years. And it's an industry that has had massive losses, underwriting losses, I believe, of about $4 billion combined, when you combine 2019, 2020 and 2021. Our reaction to Florida has been to shrink the policy count and also take rates up. So our rates are up about 90% cumulatively over the last five years. And I think the legislators are trying to come up with a solution that is less focused on the rate action and perhaps identifying some of the drivers. Social inflation, litigation, things like that are -- come to the front of mind. But then there's also talk about the reinsurance community and their pricing of Florida, their lens on Florida. So there's potentially talk about expanding the reinsurance that we purchased from the state, the Florida Hurricane Cat Fund. So it's a bit early, but we'll well know in about two weeks' time, three weeks' time max what the results are.
Doug Ruth: Okay. And what about the state of Florida and the relationship that you're having with the homeowners and the agents, how has that changed since now that you're really just focusing on the state of Florida?
Mike Braun: Yes. It's very difficult to everyone in Florida, to the whole community. A lot of people are dealing with inflation, and it's very difficult for them. So they're seeing massive price increases on their homeowner insurance policies. And they're also seeing a lot of people that are being canceled. So it's very difficult on the policyholders. It's very difficult on the agents. It's very disruptive. People are having a lot of trouble finding coverage. Citizens is growing exponentially. And this is a state insurance company, and it's very unfortunate.
Doug Ruth: And then what about the reinsurance? I mean, do you have like a dollar amount that you think you might need to spend for the 2022, 2023 time period?
Mike Braun: Yes. That's a good question there, Doug, as well. And part of that is, as we shrink, our reinsurance spend really becomes a fixed cost. And for correct terminology, it is ceded premium, it is a variable expense. But really, when you -- after you go through hurricane season, it really becomes a fixed cost. So we have dropped significant premium, significant policies over the last year, and yet that cost really stays flat. So it's really impacted us. Over the last year through March, we dropped about 100,000 policies and also about $100 million of premium, a lot of rate increases have rolled in. So it's rather difficult when you have this big reinsurance expense to shrink the book as aggressive as you might want. And there's an opportunity once a year when you relaunch a new reinsurance program. And once again, I think our cost on that reinsurance program was approximately $275 million. What we think, if we can work this plan, that cost would drop significantly. I don't want to quantify, but it would be a much smaller program of policies, much smaller program of in-force premium, a much smaller need for reinsurance. And I think just an opportunity for us to be better set up for success on a go-forward basis. So once again, nothing has been approved. We're having dialogue with our regulators, and we're trying to move forward as best we can in a difficult situation.
Doug Ruth: Okay. And then my last question is -- and I'm grateful for the answers to these questions. How is the current quarter progressing? Has there been any significant weather events or anything to be concerned about above and beyond what might be normal?
Mike Braun: Yes. In terms of Q1, we had a lot of weather. And I'm not sure how you define March, but it could have been one of the more active months, March, or -- in a decade plus, if not many decades. So April is much quieter. May, it's only roughly the first 10 days of the month here. So we've had some weather, absolutely. But every day, our portfolio is shrinking significantly. So nothing specific to bring up. As we talk about Q2, a lot more rate continues to earn in on these policies. A lot less policies are in force with each passing day. I believe we're dropping roughly just 400 to 500 policies per day on average. That's not a specific number, but just when I look at the month in aggregate, it's just a significant reduction in policy. So we've made a lot of progress in our downsizing. But once again, as you shrink when you have that high reinsurance cost, there is some challenge there.
Doug Ruth: Okay. Well, I'm grateful for the answers to the questions, and we're hoping for the best year going forward.
Mike Braun: All right. Thank you. Have a good day.
Operator: Thank you. I'm showing no additional questions in the queue at this time. I'd like to turn the conference back over to management for any closing remarks.
Mike Braun: Thank you all for participating on today's call. Before we close, I want to recognize the hard ongoing work by -- and dedication by the FedNat team. They continue to provide exceptional service to our policyholders and to our partner agents, particularly in their time of need. So just wanted to thank them for their efforts and wish everyone a good day. So thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.